Operator: Hello everyone and welcome to the Johnson Outdoors First Quarter 2022 Earnings Conference Call. Today's call will be led by Helen Johnson-Leipold, Johnson Outdoor's Chairman and Chief Executive Officer. Also on the call is David Johnson, Vice President and Chief Financial Officer. Prior to the question-and-answer session, all participants will be placed in a listen-only mode. After the prepared remarks, the question-and-answer session will begin. If you would like to ask a question during that time, please press . This call is being recorded. Your participation implies consent to our recording this call. If you do not agree to these terms, simply drop off the call. I will now turn the call over to Allison Kitzerow from Johnson Outdoors. Please go ahead, Ms.
Allison Kitzerow: Thank you, Operator. Good morning, everyone. Thank you for joining us for a discussion of Johnson Outdoors results for the 2022 Fiscal First Quarter. If you need a copy of today's news release, it is available on our website at www.johnsonoutdoors.com under Investor Relations. I also need to remind you that this conference call may contain forward-looking statements. These statements are made on the basis of our current views and assumptions and are not guarantees of future performance. Actual events may differ materially from those statements due to a number of factors, many beyond Johnson Outdoors' control. These risks and uncertainties include those listed in our press release and filings with the Securities and Exchange Commission. If you have additional questions following the call, please contact Dave Johnson or Pat Penman. It is now my pleasure to turn the call over to Helen Johnson-Leipold.
Helen Johnson-Leipold: Thanks Allison. Good Morning, and thank you for joining us. Excuse me. I'll begin with an overview of the quarter and then I'll share perspective on the performance and the outlook for our businesses. Dave will review financial highlights and then we'll take your questions. Sales in our first fiscal quarter ending December 2021 declined 7% to a $153.5 million compared to a $165.7 million in prior year year's unprecedented First Quarter. Operating profit of $13.8 million was down versus $23.6million in the prior year, first quarter. As we continue to monitor the inflationary environment, we've been taking price increases for our products where appropriate. Net income was $10.9 million or $1.07 per diluted share versus $19.8 million or $1.96 per diluted share.  I think it's valuable to note that compared to the pre-pandemic December 2019 quarter, our net sales are 20% higher and our profits more than doubled. Overall, we are seeing continued strong demand for our products as people continue to be eager to recreate outdoors, while the ongoing global supply chain environment and uncertainties associated with the pandemic continued to be challenging and unpredictable. We remain laser-focused on working hard to manage supply issues and fill orders and protecting the health and safety of our employees. In Fishing our largest business demand across all product lines remained strong while managing supply chain issues and component delays continue to be critical to helping us fill orders as anglers look to Johnson Outdoors for the best fishing experiences possible. In our Humminbird brand, our most recent innovation, the award-winning MEGA Live Imaging delivers the clarity and detail of MEGA Imaging in live action, allowing anglers to see fish and the structure in real-time, even watching fish onscreen as they move into strike an angler's lure.  With the release of MEGA Live access to the most complete package of industry-leading technologies and products offered in our One Boat Network platform, which enables our Humminbird fish finders and Minn Kota motors to work together in unison, giving anglers an effortless command of their boat. Also ending quarter, and the award winning Raptor Shallow Water Anchor continues to do well in its second year on the market. The Raptor has two industry first technologies, Auto Bottom Mode, which detects bottom density to determine the right anchoring force, and Active Anchoring, which continuously monitors anchoring force and adjust automatically for stable bottom pinning. And the trolling motors with a strong heritage of innovation, quality, and durability, Minn Kota is the industry leader. Both our Watercraft Recreation and Camping businesses are experiencing continued strong sales growth and outperforming the market. In Watercraft Recreation, growth in our Fishing Kayak segment continues as we've outpaced the strong market with the ongoing enthusiasm for our innovative Sportsman line that is starting its third year out in the market. We are constantly looking for ways to integrate our product in the popular Sportsman Autopilot 136 leverages the game-changing Spot Lock technology from our sister brand, Minn Kota, to hold position while anglers fish. From the award-winning autopilot motorized Fishing Kayak to the versatile pedal-powered Sportsman Salty kayak.  The Sportsman line offers a Watercraft for anglers in every type of water. And in Camping, both our Jetboil and Eureka brands continue to benefit from the surge of participation in the activity. Demand for Eureka cans and stove continues to be strong, and in Jetboil consumers continue to be excited about the superlight Stash stove that is entering its second year on the market. Reducing weight, and the trail is critical for backpacking and the Stash is the lightest all-in-one backpacking stove system that Jetboil the technology leader in portable outdoor cooking systems, has ever made. Finally, in our Diving businesses, we thought dive market it's primarily in the U.S. and other regions in the world experienced some recovery. Our work to promote and support local diving and to enhance our global digital presence and e-commerce are all working to help this positive growth.  We remain focused on these efforts along with sustained innovation to ensure SCUBAPRO 's position as the most trusted dive brand in the world. In summary, we are encouraged by the continued strong demand for outdoor recreation products, and the team remains focused on working hard to meet demand. Our company purpose, which is to inspire people to get out there to experience and value the great outdoors for generations to come, continues to guide everything we do, and we remain committed to investing in our key strategic drivers, which are understanding our consumers, sustaining innovation leadership, identifying new sources and paths of growth in our markets, and continually optimizing our digital consumer experience. Our ongoing hard work on these priorities ensures that our portfolio of market-leading brands is well-positioned for success and that we continue to deliver sustained but long-term growth for Johnson Outdoors. Now I'll turn the call over to Dave for a review of the financial highlights.
David Johnson: Thank you, Helen. And good morning, everyone. I wanted to highlight a few items from the quarter. As Helen mentioned, the main remains strong, but like many companies, we continue to base ongoing disruptions in our supply chain there must be managed on a daily basis. We continue to take action to mitigate our supply chain challenges. For example, we continue to maintain higher than normal inventory levels and we're also working closely with all of our vendors and planning for ultimate sources of supply for critical components where feasible. We've also invested in adding capacity and incremental resources where appropriate. Capital expenses for the quarter were up $1.9 million due to our additional capacity investments primarily in our Fishing business. Each business has implemented price increases in response to increased input costs. We'll continue to monitor the inflationary environment, and we'll take pricing adjustments as appropriate.  Operating profit was down 5.2 points versus the prior year's record-setting quarter. Gross margin of 39.5% is down 5.8 points from last year's first quarter, and continues to be pressured due to cost increases. Operating expenses decreased $4.6 million versus the prior year, primarily due to lower sales volume driven expenses. Net income for the quarter was $10.9 million, down 45% from the prior-year quarter. The effective tax rate is 25.6% compared to last year's rate of 23.7%. We expect the full-year tax rate to be in the mid 20s. Our strong balance sheet and healthy cash position continue to enable us to invest in strategic opportunities to strengthen the business while consistently paying dividends to shareholders. Now I will turn the call back over to the Operator for the Q&A session. Operator.
Operator: Thank you. Again, ladies and gentlemen, if you'd like to ask a question,  One moment please. Our first question comes from Anthony of Sidoti. Your line is open.
Anthony Lebiedzinski: Yes, good morning and thank you for taking the questions. First, in terms of the strong demand outlook and customer orders that you talked about there, is there any way you can quantify that as to what you've seen so far, as you enter the critical season here now of -- in terms of margin June quarters?
David Johnson: Yeah. It's an interesting phenomenon. We're seeing a strong book of orders right now compared to last year, so I hesitate to quantify it, but it's still really strong right now. We'll have to see how things shake out in the season.
Anthony Lebiedzinski: Got it. And is that in all segments that you're seeing with a strong book of orders?
David Johnson: Yes.
Anthony Lebiedzinski: Okay. That's great to hear. And then as far as pricing, can you give us a sense as to how much pricing benefited the quarter and how should we think about price increases on a go-forward basis?
David Johnson: Yes. It didn't really benefit this first quarter a lot. Some of the price increases were effective January 1st, some are effective even a little bit later than that, so it wasn't a big driver for the first quarter, which is hence-forcing the cost inputs being the story for the gross margin. We'll continue to look at that and adjust as necessary. I would expect more benefit the rest of the fiscal year from the increases we're putting in place.
Anthony Lebiedzinski: Got it. Okay. Thanks for that. And then just overall, in terms of the inventory increase, so is that mostly for raw materials or finished goods as well?
Helen Johnson-Leipold: Well, the inventory increase is just so that we are prepared to meet the demand. However, we still have a lot of inventory due to components that we're waiting to get from a supply chain standpoint. And then we can be ready to really produce the product and get it in-market. That's really the challenge there is waiting for one component, but yet having everything else ready to go. We are prepared when the supply, those specific pieces show up, we're ready-to-go.
Anthony Lebiedzinski: Got you. Okay, and then a couple of more questions, if I may, here. As far as the Camping sales, how much of the increase was driven by military tent sales?
David Johnson: Yeah. It's a small piece of the increase. Most of it is in the consumer business, that growth. Yeah.
Anthony Lebiedzinski: Got you, okay. And then, given your strong balance sheet and the current share price, how should we think about potential share repurchases and any other usages of the cash. I know, in the past, you've also talked about acquisitions as well. Just overall, how should we think about capital allocation, keeping in mind your current share price and cash position and other needs for the business?
Helen Johnson-Leipold: Well, from an acquisition standpoint, we -- as we've always said, we are always looking for acquisition opportunities, and the key is that it's strategic and it brings value to our focus. So, we're out there look and obviously there's -- we're in good shape with the balance sheet to go after something when it doesn't occur. So we're very actively looking and always are, but Dave, you can talk too.
David Johnson: Yeah, that continues to be at the forefront. And then obviously, our dividends strategy is important. And to your point, Anthony, share repurchases and other alternate uses of cash has continued to be a discussion item. But as you know, they all have their pros and cons. We continue to look at everything.
Anthony Lebiedzinski: Okay. Great. That's great to hear and thank you and best of luck.
David Johnson: Thanks, Anthony.
Helen Johnson-Leipold: Thank you.
Operator: Thank you. Again, ladies and gentlemen, . One moment, please. I'm showing no further questions at this time. I'd like to turn the call back over to Helen Johnson-Leipold for any closing remarks.
Helen Johnson-Leipold: I just want to say thanks to everybody for joining us today, and I hope everyone has a great day. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for participation, you may now disconnect. Have a great day.